Operator: Good day everyone and welcome to the Nucor Corporation Second Quarter of 2017 Earnings Call. As a reminder, today's call is being recorded. Latter we will conduct a question-and-answer session and instructions will come at that time. Certain statements made during this conference will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements which are based on management's current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future events will not affect their accuracy. More information about risks and uncertainties relating to these forward-looking statements may be found in Nucor's latest 10-K and subsequently filed 10-Qs which are available on the SEC's and Nucor's website. The forward-looking statements made in this conference call speak only as of this date and Nucor does not assume any obligation to update them, either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. John Ferriola, Chairman, Chief Executive Officer and President of Nucor Corporation. Please go ahead, sir.
John Ferriola: Good afternoon. Thank you for joining us for our conference call. We appreciate your interest in Nucor. With me for today's call are the other members of Nucor's senior management team, Chief Financial Officer, Jim Frias; Chief Digital Officer, Joe Stratman; and our other Executive Vice Presidents, Jim Darsey, Ladd Hall, Ray Napolitan, Dave Sumoski, Chad Utermark and Nucor’s newest EVP, Leon Topalian. Leon is a 21-year veteran of our company and will be a strong addition to our executive team. He has responsibility for our beam and plate mills. Leon is a proven leader with experience in our sheet, raw materials, bar and beam businesses. Since 2014 he has severed as General Manager of Nucor-Yamato Steel Company. Thoughtful and orderly succession planning continues to be a significant, strategic initiative throughout the Nucor organization. In addition to Leon’s promotion, we shifted responsibilities among several of our Executive Vice Presidents to broaden their experience. Chad Utermark, is now responsible for our Fabricated Construction Products; Ray Napolitan, is leading our Engineered Bar Products; Joe Stratman is focused exclusively on his responsibilities as our Chief Digital Officer; while Jim Darsey, assumes responsibility for raw materiels. Dave Sumoski, is leading our Merchant and Rebar Products Group; Ladd Hall, continues to be responsible for our sheet mills. The leadership team in Charlotte would like to thank all of our teammates throughout Nucor for their excellent work in the first half of 2017 to build a safer, stronger and more profitable Nucor. You are the reason our Company’s best years are still ahead of us. Thank you. Our Chief Financial Officer, Jim Frias will now review Nucor’s second quarter performance and financial position. Following those comments, I’ll update you on the execution of our strategy for the long-term profitable growth. Jim?
Jim Frias: Thanks John. Nucor reported second quarter 2017 earnings of $1 diluted share. These results were at the low end of our guidance range given mid-June of $1 to $1.05 per diluted share. Nucor’s second quarter performance represents a significant improvement compared to year ago second quarter earnings of $0.76 per diluted share. But it declined from first quarter of 2017 earnings of $1.11 per diluted share. Our earnings for the first half of 2017 of $2.11 per diluted share represent Nucor’s highest earnings for this period since the cyclical peak of 2008. This performance was achieved despite intensifying pressure from illegally traded steel imports. How we are able to do this is very easy to explain. Nucor’s disciplined strategy for profitable growth is working. We are realizing significant returns from our growth investments made during the steel industry’s protracted downturn. Over the past eight years Nucor has invested more than $7 billion. Capital spending of $5 billion and more than $2 billion of acquisitions, continuing a long tradition of our company we have invested aggressively to increase our capabilities for delivering value to our customers and profitable growth for our shareholders. Compared with the first quarter of 2017, our second quarter earnings benefited from significantly improved performance at our direct reduced iron plate mill, rebar fabrication and metal buildings businesses. Although down somewhat in the first quarter level, our sheet mills delivered solid profitability driven by their success in expanding their value-added product offerings and customer relationships. Compared against the year-ago quarter, profitability improved at our sheet, SBQ and plate mills, as well as our raw material businesses. The profitability of our downstream steel products segment declined significantly year-over-year, due to margin compression resulting from a highly competitive market environment and higher steel prices. Surges of dumped and subsidized rebar imports dramatically reduced the performance at our rebar mills and rebar fabrication operations. A quick comment about our tax rate as it can be confusing due to the impact of profits from non-controlling interests. Excluding profits belonging to our business partners, the effective tax rate was 34% for the second quarter and 33.2% for year-to-date 2017. Nucor’s financial position remains strong. With total debt outstanding of $4.4 billion, our gross debt-to-capital ratio was 33% at the end of the second quarter. Cash and short term investments totalled approximately $1.6 billion. Nucor's strong liquidity position also includes our $1.5 billion unsecured revolving credit facility which remains undrawn. The facility does not mature until April of 2021. For 2017, we estimate capital spending of approximately $500 million and depreciation and amortization of about $730 million. Earnings in the third quarter of 2017 are expected to be comparable to the range of the first half of 2017’s quarterly earnings. This further supports our previously expressed view that full year 2017 profitability could significantly exceed the level achieved for 2016. Our fabricated construction products order books continue to indicate a favorable outlook for the nonresidential construction market over the balance of 2017. We're also encouraged by the emergence of improving demand in other end-use markets, including energy and heavy equipment. Although automotive market demand is pulling back somewhat historically high levels, we expect to continue Nucor’s growth in this market as we gain share. We are confident that Nucor's significant competitive advantages, highly adaptable business model and proven strategies will allow our team to continue to deliver profitable long term growth and attractive returns to Nucor's shareholders. It all begins with making sound capital allocation decisions. Nucor’s capital allocation priorities are clear and they have been consistently practiced over many years. Our first priority is to invest for profitable long-term growth. This strategy is simple and flexible. We are leveraging Nucor’s five drivers to profitable growth. Our second priority is to return cash to our shareholders primarily with cash dividends consistent with our success in delivering long-term earnings growth. Nucor has increased its space dividend for 44 consecutive years. We believe that record is strong evidence of both the sustainability of our business and our disciplined approach to capital allocation. Our third priority is to opportunistically repurchase our stock when our cash position is strong and our shares are attractively price. Thank you for your interest in our company. John?
John Ferriola: Thanks Jim. Nucor’s disciplined strategy for profitable growth is working. As Jim noted, our second quarter and first half of 2017 earnings represent Nucor’s best performances since the cyclical peak year of 2008. In fact our second quarter of 2017 earnings of $323 million are more than double Nucor’s average second quarter earnings of $150 million achieved during the 2010 to 2016 time period. Our first half of 2017 earnings of $680 million are nearly tripled Nucor’s average first half earnings of $246 million reported over the 2010 to 2016 period. But what pleases me the most is that the more than 24,000 men and women on the Nucor team are delivering profitable growth despite a renewed flood of illegally traded imports into the United States. Here are the numbers that demonstrate the severity of this headwind. Through the first half of 2017, finished steel imports have increased an estimated 15% compared to the same period last year. The estimated finished steel import market share in the months of June 2017 was 29%, matching the record annual level set in 2015. The year-to-date market share for finished steel imports stands at approximately 27%. This is further evidence that traditional trade cases are very often too slow to keep up with the shifting tactics of nations that are abusing the rules of trade. Nucor continues to believe significant work remains to be done to achieve truly effective and timely enforcement of U.S. trade laws. It’s time for comprehensive and broad based remedies that address years of illegal foreign trade practices that have weakened our nation’s economic vitality and our national security. We recommend remedies to be targeted to measurable goals steel import share of U.S. market and our industry’s capacity utilization. It is also critical that appropriate adjustments be made to the remedies if policy targets are not reached. While we may require a trial and error process, to determine what remedies are affected. We are confident that our nation’s leaders will stay in the course until there is free and fair trade in our steel markets. The Nucor team’s advocacy for trade law enforcement is an absolutely critical to our mission of taking care of our customers, our employees and our shareholders. Effective trade law enforcement is required for free and fare completion or trade free on the market distorting practices of some governments. Nucor always drives in a marketplace where winners are determined by real economic advantages earned by efficiency and innovation. Truly free trade is the only path to global prosperity and rising standards of living for everyone. In the current challenging environment, we are encouraged but not satisfied by our second quarter and first half of 2017 performance. The Nucor team remains ready and eager to realize the significant pent-up earnings power we have built with the more than $7 billion invested during the steel industry’s lengthy downturn. To that goal, our focus remains on what is under our control. The execution of our disciplined strategy for long-term profitable growth. The strategy is simple and flexible. We are leveraging Nucor’s five drivers to profitable growth. The five drivers are: strengthen our position as a low-cost producer; achieve market leadership positions in every product line in our portfolio, move up the value chain by expanding our capabilities to produce higher quality, higher margin to products, expand and leverage our downstream channels to market to increase our steel mill’s base load volume for sustained results and achieve commercial excellence to compliment our traditional, operational strength. I will now update you on highlights of our team's recent progress implementing our strategy for profitable growth. During the second quarter we announced a $176 million investment to build a hot band galvanizing line at our sheet mill in Kentucky. This will expand Nucor Steel Gallatin's product capabilities and have an annual capacity of approximately 500,000 tons. The 72-inch galvanizing line will be the widest hot-rolled galvanizing line in North America. This project will allow us to expand into segments of the automotive market we currently do not serve growing applications of hot band galvanized for frames, control arms, supports and brackets. It will also create synergies with Nucor's other sheet mills. Acquired in October of 2014, our Gallatin sheet mill has proven to be an excellent platform for profitable growth. Thanks to the hard work of our Gallatin team members. Thank you, and please keep it going. In late June, Nucor-JFE Steel Corporation of Japan began construction of our equally owned joint venture galvanizing facility located in Mexico. Nucor has been doing business with Mexico for more than a decade and is excited by this opportunity to expand our participation in that country's growing automotive market. At the same time we are extremely pleased to partner with a premier supplier of high-quality steel products to the global automotive market. The plant will cost approximately $270 million and have an annual capacity for 400,000 tons. Nucor will supply half of the substrate requirements from our sheet mills. Operations are expected to begin in the second half of 2019. The automotive market is an attractive, long-term growth opportunity for Nucor. Our automotive shipments grew by 50% over the three-year period and in 2016 to 1.4 million tons. With our current mid-single-digits percentage share of the automotive sheet steel market, there is still plenty of room for us to grow. In a slowing automotive environment, Nucor continues to take market share from our competitors. After receiving additional customer awards this year for future model year 2017, 2018 and 2019, Nucor is on pace to achieve two million ton automotive annual shipment rate goal by the end of 2018. Demonstrating that our automotive growth strategy is working, we recently received recognition from Volkswagen with an award given to their best suppliers. The award criteria are innovative strange, product quality, development competency, sustainability and professional project management. Volkswagen recognized a total of 19 suppliers. Nucor was the only steel supplier and one of only two U.S.-based suppliers to receive this prestigious award. Our newest growth platform, Nucor two-wheeler products, continues to deliver strong profitability. Acquired in late 2016 and early 2017, these producers serve the hollow structural sections, or HSS and the electrical conduit niches of the pipe and tube market. These value-added businesses squarely hit the target on all five of Nucor’s strategic drivers to profitable growth. Representing an attractive channel to market for Nucor's hot-rolled sheet steel, they are on track to source nearly 100% of their steel substrate for Nucor's sheet mills in the fourth quarter of this year. Congratulations and thank you to our two-wheeler products and sheet mill teammates for your excellent work. Please keep it going. These are just some of the exciting initiatives we are implementing to drive profitable growth. We continue to make excellent progress on a number of other projects across our steelmaking, downstream and raw material businesses. For a company such as Nucor with its unique position of strength and proven ability to execute its strategy for profitable growth, this is the time of great opportunity. That's why the Nucor team is both ready and eager to unleash the pent-up earnings power that we have built into our company during the industry downturn. I am absolutely confident that Nucor's best years are still ahead of us. We appreciate your interest in a Nucor and we would now be happy to answer your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Novid Rassouli with Cowen and Company. Please go ahead.
Novid Rassouli: Hey guys, thanks for taking my question. On the long products side, given the import pressure that we're seeing on long products and with scrap looking maybe potentially stable, how do you guys think about margins going into the back half of the year for long products?
John Ferriola: Long products are definitely challenged due to the import surge that we've seen, most notably in our rebar business but certainly also in our merchant business. And you're correct, we do see scrap pricing going out for the next couple of months to be somewhat stable, maybe softening a little bit, but pretty stable. Now having said that, we've got trade cases going on today on rebar, and we fully expect to have successful outcomes on and we believe will help steel with import surge over the next few months. But hoping that to be the case. If it is, we should see a reduction in the imports and with that, improvement in the market and demand for rebar in the United States.
Novid Rassouli: Thanks and then my second question is a follow-up on that. In your opinion what long product or products do you think are most likely to be included in a Section 232 proposal? Thanks guys.
Joe Stratman: It is really difficult to say. What we are looking to have happened and what we were executing in Washington. And frankly what we hopeful we will get is a very broad based 232 ruling that will include virtually all of the products. It will not be targeted to any one particular product or to any one particular geographical area, or region of the world. So based on that, our expectations, certainly, our hope and with some degree of confidence, we believe that we will get a 232 that is inclusive of all of the products.
Novid Rassouli: Thank you.
Operator: Thank you. Your next question from Jorge Beristain with Deutsche Bank. Please go ahead.
Jorge Beristain: Hey guys it’s Guys it's Jorge Beristain with Deutsche Bank. Question was on the guidance or color you've given for second half. It does seem light. You're kind of saying that 3Q should be similar to what we saw in the first half, but we've just seen a $25 price hike that seems to be followed by your industry peers. And you had mentioned scrap prices are probably going to be stable to down, and you might see some volume pickup in the second half due to 232. So trying to understand why you would be cautious on the second half outlook?
John Ferriola: Well I'd say that we're optimistically cautious. Of course, we'll just be optimistic as we look out into the quarter. There's always a great deal of uncertainty in our business, well I would say a couple of business. We’re not sure exactly what's going to happen out there. Over the next couple of months we will certainly learn what’s going to happen with 232. That could have a very significant impact. My take on it, frankly, right now is it's probably not going to be everything we hope it to be, but it’s certainly going to be more than what we have right now. So as I look out into the third quarter and I see pricing seems to be holding and improving in Flat-Rolled Products, stability in our other businesses in terms of demand, a scrap number that is stable going forward and potentially some help on 232 and even failing that, I do expect to have continued successes we've seen over the last 12 months on the ongoing cases, the ongoing trade cases, particularly as they apply to long products. We've seen success in plate. We expect to have some more success in plate. And as we look out into the quarter, you've got to remember that a lot of the bookings are already placed. A lot of our sheet businesses on the contract that’s predicated upon CRU numbers from the previous quarter. So when we factor all of that into what we see, at least at the beginning of the third quarter, relatively same performance as in the first half of the year. As you go out further into the year, as I said before, we are cautiously optimistic and we'll see improvement both in demand and in some outcomes out of Washington.
Jorge Beristain: Okay. Sorry. If I could just squeak another question in for Jim, just on corporate illuminations, we saw them jump about $40 million sequentially. I was just wondering if you could comment on that. I thought we were going to see a lower impact from these kinds of eliminations going forward and they actually went up.
Jim Frias: Yes, that’s a great question. And the biggest change was related to intercompany profit eliminations related to our DRI raw material business. We have more DRI inventory at the end of the second half than we had at the beginning of the first half, and the margins on that product were increased and we have to eliminate the profits till it comes out at the end as a finished product. And that means not just as a finished steel product business, this is a finished piece of decking if it goes to a deck plant or some part of another steel thing that we've fabricate, piping, tube, et cetera. But overall we look at that number, if we look on the year-to-date basis its $410 million versus $286 million last year. There's two big things that have driven it up year-over-year. One is profitability and how that effects profit sharing. Profit sharing, for our non-officer employees is higher than it was last year by almost $53 million, and intercompany profit eliminations are higher by $68 million. And you're right. Sequentially, quarter-to-quarter, there is a jump and most of that was intercompany profit related to all of our products but mainly, DRI.
Jorge Beristain: Got it. Thank you very much.
Operator: Your next question comes from Matthew Korn with Barclays. Please go ahead.
Matthew Korn: Thank you. Good afternoon everybody.
John Ferriola: Good afternoon.
Matthew Korn: Another question on trade and imports if I could. If policy relief on imports that you had talked about for whatever reason, it doesn't materialize in the near term and say, the rebar market continues to suffer under import pressure it has been. Does that change the calculus for you at all on say, the investment in Marion? And then bigger picture with any of the investment plans that you are currently forming will any of them be predicated on your getting trade relief. Could you see yourself in the position of saying look we have to adapt parts of our long held strategy for growth in the domestic market unless we get more assurance from the government on this really important topic?
John Ferriola: Well let me start by saying absolutely not. We work on what we can control, we focus on what we have under our control. And that’s what we predicate our business plans upon, and on investment strategies upon and that is what we have built them upon. We know what we can control. We know what we can import. We can influence what happens in Washington. We cannot control them. So our focus has always been on what we can control. The investment strategies that we've made, the plans that we've laid out. I'd be happy to talk about them if you want more detail on them. But it's been part of our strategy since our company began to invest for the long term. We are long term-focused company. The investments we make are for the long term. The things that happen over the next couple of months in terms of what comes out of Washington and I understand there's a lot of focus on that. To me, that's icing on the cake, that's gravy, that's something that whatever comes out – and I'm sure that with something coming out that's beneficial, but what level remains to be seen but it will be beneficial. Whatever does come out will be a positive to the plans that we've already laid out that we're confident will continue to focus on long term, profitable growth.
Jim Frias: Does that answers your question?
Matthew Korn: Yes sir, I appreciate that. It does. Let me then take you up on your offer and if you could give me any latest update on the progress there, especially cold mill there in Arkansas. How's that coming along?
John Ferriola: Will I’ll be a little bit broader if I can. We’ve been talking about that one specifically. Its well, going extremely well. It's right on – it’s early in the process, but certainly, it's right on track. And we have that cold mill going in at Hickman. That is going to do wonders to advance us even higher than we are currently in the value-added automotive market. It's a very specialized mill. It's a third-generation, ultrahigh strengths. That will allow us to continue the progress that we've made, the outstanding progress that we've made in penetrating automotive. That will then be further supplemented by our automotive-quality gal-line in Mexico, with our partners at JFE. As you know, those guys are premier, automotive suppliers known on a global basis. For them to be partners with us, is just a credit to what our team has done in terms of advancing and to automotive, the quality and service that we have been able to deliver. You add that to another investment we're making at our Gallatin facility, another gal line. So we did a very just a hot band gal line. It's ultra-wide, it will be the widest in North America. It's extremely heavy gauged. Frankly, it's just about twice as heavy that's produced currently today in the Midwest, which is a great market for galvanized, a growing market. So you add all of this together, we've got a very well-focused – and I'm – it's too early to share some of the other plans that we have on our long product side. But I can assure you that we are really developing a long-term strategy to deal with some of the issues that are happy to tell you long products. So altogether, answering your question, we've got a definitive plan for long-term profitable growth. We're executing on it well, and it's not influenced by what's coming out of Washington. It's influenced by what we can control. And whatever comes out of Washington will be gravy for us as we go forward.
Matthew Korn: Thanks for the comment John.
Operator: And next you will hear from Seth Rosenfeld with Jefferies. Please go ahead.
Seth Rosenfeld: Good afternoon. Two questions. Starting out on the hot-rolled coil market, you earlier referenced increased competition in HRC as being a key drag in the second quarter. Would you attribute this behavior principally to importers? Or are you also seeing more aggressive behavior from domestic peers, being some the new entrants, like Big River in Mingo? And in more recent weeks, as pricing is begin to stabilize and actually recover, are you seeing any notable shift in that competitor behavior? I'll stop there, please.
John Ferriola: Sure. Well, we always worry more about the imports. Frankly, there's new competition coming on domestic competition. We've been living with that for the last 40 to 50 years. We're going to live with it for more years going forward. And frankly, we welcome that competition. We enjoy good competition on a fast, level playing field. We do not fear competition on a level playing field. We are confident in our team's ability given a level playing field to be successful without a doubt. So more of those comments are focused on the import situation. And when I look at the different markets that we are participating in and the advantages that we have in some of those markets, automotive, construction, energy, just being a bunch of – just a couple of names to put out there. We are very confident in our ability to compete extremely well against domestic competitors on a level playing field. The challenge that we have and we will continue to fight, and I know that we will continue to have more success on is with imported products.
Seth Rosenfeld: Thank you. And then the second question on the rebar fabrication side, your comment seemed quite dire, I suppose, in terms of where you see profitability for that business. Following the recently announced antidumping duties early in the year, has that, at all, changed your competitive behavior and the level of margins that you seeing in the fab side?
John Ferriola: Well, I certainly didn't use the word dire, okay? Challenged, maybe, okay, but not dire. And once again, you're spot on with your follow-up comments. We are having success with rebar on imports, on trade cases. We will continue to have success. It's a little bit of a whack a mole game. You've heard me use that term before. You need to try different countries. You try different companies. But I will say, as I've said several times before and I think we're actually seeing some of this coming to fruition as we talk about more holistic solutions like 232. My comment being that Washington is beginning to understand our elected officials, the administration, beginning to have a better understanding of the consequences of imports not only on our economy but on our national security. And as a result, we are seeing more and more support for trade cases and for more holistic solutions. But particularly on the trade cases, we're seeing much greater success than we've had in the past, quicker turnarounds. There's been several things that have come to into effect in terms of enforcement that are now supporting the trade cases as they get successfully prosecuted. So yes, I'm confident that we're getting the handle, getting our hands around imports. It's always going to be a battle, but I continue to see more and more success and with that, a better competitive situation on rebar, rebar fabrication and frankly, on all of our products.
Seth Rosenfeld: Great. Thank you very much.
Operator: And your next comes from Timna Tanners with Bank of America.
Timna Tanners: Hey, good afternoon, gentlemen.
John Ferriola: Hey Tim, how are you?
Timna Tanners: Hello. So I've just wanted to recycle, you guys are green, so let's recycle a question I asked earlier today. If we believe Section 232 results in any sort of reduction in imports, the domestic industry is running really hard on a flat-rolled overall. And assumingly with OCTG, if it gets hit as well, you need to produce that domestically. So assuming you would get pretty tight and you and Steel Dynamics are looking downstream, but not adding more sheet capacity. So I was just wondering, are you considering also adding any flat-rolled capacity? Is there any flex in your system? Or are you more focused on galvanizing? And if so, are we not worried about given auto weakening any excess galvanized in the market?
John Ferriola: Okay. A bunch of questions there. Okay, wondering let me see if I can handle them one at a time. I'll start with a question about if we get a good ruling on 232, we have concerns about being able to meet the needs in the marketplace and my first answer to that is absolutely not. You asked if we have any flex. I believe, what you meant by that was the ability to produce more steel in our existing facilities. Nucor is also doing that. We've been doing that forever. We will continue to do that. We will find ways to get product out that we need to meet our customers’ demand. As I made the comment in Washington a couple of weeks ago when I was asked a similar question, I said bring it on. Give us a chance. Let us show you what we can do. We will take care of that. Now for the longer term answer to that though on the 232, what – why we're pushing so hard forward 232 and what holistic solution, is that it provides an environment of sustainability so that we can continue to invest for the future. You have to create an environment where you get the right returns for the investments where you know that you have certain operating utilization rates based upon being able to have a reasonable limit on the market penetration of imports. Once that's accomplished, there's no doubt in my mind that Nucor will continue to invest. Let's look at it this way. We invested $7 billion without having that, okay. What do you think we would do if we had a sustainable environment, that we'd be confident on getting the returns? There's no doubt in my mind and there's no limit to looking over at Mr. Frias and I’m absolutely confident that there's no limit to our buildup – there's always a limit but it that a pretty high limit our ability to raise the capital that we would need to able to make significant investments, to meet the future needs of our customers and that's in, of course, all of our products. Rebar, merchants, plane, sheets to my you name it, HSS. As I've said in Washington, give us – give our industry the opportunity to show you what we can do by providing a sustainable environment in which the industry can operate in, and I am confident we will meet the needs both militarily, and commercially and economically. Now is there another question in this? So I've think there's the galvanized.
Timna Tanners: Yes, I didn’t in light in auto weakening, and so on. Yes.
John Ferriola: Well, auto weakening is taking place. There's no doubt that it's plateaued. I'm hearing numbers around 7.1 units versus 7.5 units, okay. There's no doubt in my mind that there's some weakening going to be occurring. It's only to the effect. I would tell you this, at the end of the day, our part – our market share of automotive continues to grow. So when you look at how we've gone over the last several years and how we anticipate growing over the next couple of years, we'll be getting a bigger piece of a smaller pie. So in terms of our growth in automotive, we're confident we can continue to grow in automotive. And in terms of more general comments on the galvanizing line, if you look at Nucor, we tend to be underweighted and galvanized. Where the galvanized represents about 18% of our product today, of our sheet products today, most of our competitors have numbers closer to 30% to 35%. If you look at our existing coating lines, Timna, we've been running at full capacity, full utilization since 2014 on our galvanizing lines. So it only makes sense for us to continue to grow that business. I'd also point out that the galvanized consumption in the U.S. is growing. It's expected to grow pretty significantly between now and 2020. And as that – as a further comment, the two lines that we are building, I've touched upon this early but I'll reiterate. The two lines that we're building are not traditional lines. Our line at Gallatin is ultra-wide. It's going to be a wide, heavy gauge. Goes up to 0.25 inch. Our current capacity, I think, is 0.125, maybe. So it's about twice what of we can currently produce. It's going to be located in the Midwest, which is the largest galvanized consuming region in the country. So we're confident that there will be room for us there because it is more of a niche. It's not just another galv line. And the same is true in our mill – galvanizing facility we’re building in Mexico. It's not just another coating line. It's a very specialized, automotive-grade, very high spec galvanizing line that we feel will meet the needs of advanced deals that are coming down the road. Point out one more thing quickly, and that is the location of it in Mexico is perfect. We're surrounded by automotive companies that have been relocating there. We've got a great Japanese partner that will help us get into some other companies that we haven't been able to get into yet.
Timna Tanners: Okay. If I can, I'll ask a easy follow-up, or have I ask all of them, sir?
John Ferriola: So far you've been asking them, so go ahead.
Timna Tanners: One easy follow-up, I promise. Just if you could update us on where you think we are in the construction cycle. I know in the past you’ve mentioned that this time around, you expect it to cap out lower than last environment what we experienced. Just want to get your latest thoughts on the cycle, please.
John Ferriola: Well, if we use 2007 as kind of the peak market, I would say we're somewhere around 65% of where we were back in 2007. So it's getting better. It's continuing to improve. But it's – as I've said in the past, it's a slow rate of improvement. When I look at this particular year, it's kind of – I think it's going to be an interesting year. So I recently projected a growth of about 4%, 5% over the course of the year. If you look at the first half of this year, you had to have some negative growth somewhere in the neighboring of about 3% to 4% negative. So for that to come out and hit 5% I think is probably unrealistic. I would put the number today, maybe closer to overall flat for the year or up 1%, 2017 over 2016. But even with that small differential, what that does bode well for us as a second half of the year in construction. When we look at – and that's supported by some things we do see. The guards have this thing they call the momentum indicator. That's positive. The ABI is positive. We always look to our downstream businesses, to our auto entry rate to get an indicator of construction markets going forward and that's also a positive. When we look in particular areas, we see one area of nonresidential construction that has been somewhat positive, has been infrastructure, particularly on the bridges. For us that's good news for our structural business and particularly, with some investments we made recently with wide [ph] piling and the QST. So – and we are still hoping for some news on our infrastructure build, which would prolong the cycle. And I've spoken a lot about the nonresidential construction, but I will point out that residential constructions having a good year. That's up about 4%, or 5%. And while it doesn't have the same impact on steel consumption, you do have some impact in terms of white goods, appliances and some of those other kinds of things. So overall, second half of 2017, I think, will be better and the first half on construction, at the end of the day, we'll be up maybe 1% year-over-year.
Timna Tanners: Okay, great. Thanks for your update. I appreciate it.
Operator: [Operator Instructions] Let’s move to Dave Gagliano with BMO Capital Markets. Please go ahead sir.
Dave Gagliano: Thanks for taking my questions. I just had a couple of short term specific questions. Just on the things were a little different than what we're expecting side of it. Pricing in sheet had bounced up quite a bit in the quarter. I was wondering if you could to explain a little bit more as to what happened there. And also, historically, plate volumes, which have been very strong the last two quarters. Historically, when we have strong plate volumes a couple of quarters, the next quarter's a big drop off. I just want to make sure there's no reason to expect a similar drop off in the third quarter.
John Ferriola: I'm going to address the sheet question, and I'm going to ask you to repeat the second question. I didn’t quite hear the word you're asking about. So first of all, let's talk about sheet pricing. For us, it's a couple of things. Number one, some portion of it can be attributed to mix. Also, as I've said a couple of times on the call and in the past, we continue to move up the value chain our sheet products. So that has helped us on our pricing. In terms of the general increases that we've seen, we have a $30 increase a couple of weeks ago. That's been well-supported by the marketplace. We're collecting that well. And the most recent $25 one [indiscernible] went out last night, as we've said in the past, we don't go out with price increases unless that we are very confident that we're able to collect some of the things that we look at. We look at the demand, which as I said, continues to look strong. We look at service center inventories, which continue to be very low. One of the other things that’s helped us at Nucor with our pricing, frankly, on our Flat-Rolled Product is the addition of our new business in HSS. A lot of our spot – what was spot funds are now going downstream into our own businesses. So that gives us a little bit more flexibility. It evens out our mix a little bit better between hot band and cold because we – hot band is not going out to the marketplace. So I've given you several reasons and hopefully, that answers your question. Could you repeat the second part of the question because I couldn’t catch that one word?
David Francis: Sure that’s helpful by the way. I was asking about your plate volumes, which have been obviously very strong the last two quarters and I just wanted to make sure there's no reason to expect those to come down at all in the quarter.
John Ferriola: I apologize. I was putting those two words together and I couldn't figure out what the word was okay. Plate volumes continue to be strong. There's several reasons we can give for that. First one that I will point out is our Hertford County plate, plate mill with its heat treating; new on the plate that we're able to produce there with some military applications. That's been good for us. Our new addition mill in Longview, Texas. Although that's still coming online, it's – we've been able to introduce a lot of new grades there. That's helped us there. And we've had a positive outcome on the trade case. So there's a – again, I mentioned earlier, bridges. That's obviously – a lot of plate goes in the bridges. So that's been good for us. I got to tell you then, this is a shout out to our teams on the plate side. They've done a great job not only on new grades that have been developed, but new applications that they're going into, new customers and frankly, the team down in Longview. Tell you what, guys, you're doing a good job. Please keep it up. Just keep doing it safely, okay? So no, I don't expect to see any significant change in our plate volumes. And again, if we get the kind of results we're hoping out of Washington, not only would I not expect to see a decrease, I would absolutely expect to see an increase in volumes and other aspects of our plate business.
David Francis: Okay, Thank you
Operator: And your next question comes from Philip Gibbs with KeyBanc Capital Markets.
Philip Gibbs: Thank you. Good afternoon.
John Ferriola: Good afternoon Philip.
Philip Gibbs: I had a question, John, on the bar shipments in the quarter. I think almost 1.5 million tons, the best from a quarterly perspective we've seen, I think, in three years or more. Just curious in terms of what drove that relative to the last several quarters? Is it efforts to regain market share? Has it a picked up in SBQ, rebar? Don't want to be too leading here, but just want to understand here the strength in the quarter.
John Ferriola: I'd be happy to answer it. Fully stable on rebar and merchant bar. That's been pretty stable. We really are focused on our SQB business, excuse me, okay, and particularly out of our Memphis facility and our Norfork facility in terms of new grades. In Memphis, we've added the heat treating, which has really helped our business. Our cold finished business is getting better all the time, and that's another downstream outlet for our SBQ. So our billet business, another of our SBQ billet business has been strong the last couple of quarters. So what's really grown, driven the change over the last couple of quarters has been our SBQ business. And of course, that means also our cold finished business beyond that. So that's what really drove – to what drove the business. One of the things you can't have more volume coming out of SBQ if you're not getting more approvals and qualifications from automotive customers our heavy equipment customers, specialty customers. And as such, adding all of our products as we continue to drive up the value chain become higher-value, more specialized. We're able to pick up not only more volume, but better pricing that goes along with it. So hats off to the team at SBQ and cold finished. Thanks for the job you're doing. Keep it going.
Philip Gibbs: I appreciate that, second question here. For the third quarter, are you anticipating your volumes will be pretty similar to where they've been in the second quarter? Or should we expect some seasonality? And then adjunct is, on the corporate and eliminations, I know we heard some of the explanation earlier, but should we expect that to taper down a bit versus the second quarter?
John Ferriola: I'll tackle the first part then throw it over to Jim, okay. In terms of our volumes, I would say that we certainly see a stability going forward with a fairly positive view that they'll go up if we see smoke. Positive view coming out of Washington will have an impact on our volumes, and it will be a positive impact, without a doubt. So without anything coming out of Washington, pretty stable going forward, maybe a slight uptick. But with any help coming out of Washington, which we do expect. President Trump has made some commitments to us, and we expect him to stand behind those commitments. We're certainly working to make that happen. If it does, we could see some volume improvements as well as other parts of our business. Jim?
Jim Frias: So Phil, if you may recall in my comments as part of our script last quarter, I said that I expected intercompany eliminations to be lower in the second quarter, and I was wrong. So I'll caveat my statement with that week. We had about $32 million of the total in Q1 profitable or – corporate eliminations was profiting – Intercompany profit related. The second quarter's about to be $7 million. I think it's going to be down in the third quarter compared to what it was in the second, maybe closer to the first quarter. But it depends on how much inventory we have and depends on high margins we have. If intercompany inventories get higher and if margins get higher, then we could have a bigger expense. If inventories stay flat and margins stay flat, it will be close to zero.
Philip Gibbs: Okay, that's really helpful. And should we anticipate that DRI can see another leg of upside here in the third quarter as you may begin either little bit into some lower cost inventory and have a full complement of assets up and running? Thanks
John Ferriola: You mean relative to intercompany eliminations, is that your question.
Philip Gibbs: No, just relative to itself and the [indiscernible].
Jim Frias: Okay I’ll answer that. There are plans in Louisiana and in Trinidad have been running very, very well, running full volume, high quality, great yields, good products and we fully expect them to run that way throughout the third quarter the rest of the year, 2018, 2019,2020 and beyond.
Philip Gibbs: Thank you.
Operator: And it appears we have no further questions at this time. I'd like to turn the conference back over to Mr. John Ferriola for any additional or closing remarks.
John Ferriola: Let me just conclude by saying thank you to our shareholders. We really appreciate your confidence and your support. As always, thank you to our customers. We appreciate your business. Without you, we're not around. So thank you for your business. I want to say a special thank you to my Nucor teammates for creating value for our customers, generating attractive returns for our shareholders and building a sustainable future for all of us. And most importantly, thank you for doing it safely. Thanks for your interest in Nucor. Have a great day.
Operator: And once again, that does conclude today's conference call. We thank you for joining us you may now disconnect.